Operator: Ladies and gentlemen, thank you for standing by. My name is Rob, and I'm your event operator today. I'd like to welcome everyone to today's conference, Public Service Enterprise Group's Third Quarter 2025 Earnings Conference Call webcast. [Operator Instructions] As a reminder, this conference is being record today, November 3, 2025, and will be available for replay as an audio webcast on PSEG's Investor Relations website https://investor.pseg.com. I would now like to turn the conference call over to Carlotta Chan. Please go ahead.
Carlotta Chan: Good morning, and we welcome to PSEG's Third Quarter Earnings Presentation. On today's call are Ralph LaRossa, Chair, President and CEO; and Dan Cregg, Executive Vice President and CFO. The press release, attachments and slides for today's discussion are posted on our IR website at investor.pseg.com, and our 10-Q will be filed later today. PSEG's earnings release and other matters discussed during today's call contain forward-looking statements and estimate that are subject to various risks and uncertainties. We will also discuss on non-GAAP operating earnings, which differs from net income as reported in accordance with generally accepted accounting principles, or GAAP, in the United States. We include reconciliations of our non-GAAP financial measures and a disclaimer regarding forward-looking statements on our IR website and in today's materials. Following our prepared remarks, we will conduct a 30-minute question-and-answer session. I will now turn the call over to Ralph LaRossa.
Ralph LaRossa: Thank you, Carlotta, and thank you all of you for joining us to review the results we announced this morning and to discuss our outlook for the business over the remainder of the year. PSEG reported solid third quarter and year-to-date operating and financial results, reflecting the expected positive impact of new rates from the October 2024 distribution rate case settlement that benefited the full third quarter. Our results through the first 9 months enabled us to narrow our 2025 non-GAAP operating earnings guidance to the upper half of the range at $4 to $4.06 per share from prior guidance of $3.94 to $4.06 per share. At PSE&G, we invested approximately $1 billion in the quarter and $2.7 billion over the first 9 months of 2025, all part of our planned full year $3.8 billion regulated capital spending program. This program is focused on replacing and modernizing New Jersey's energy infrastructure, meeting load growth and expanding energy efficiency programs that lower energy demand and customer bills. During the quarter, PSEG Nuclear supplied the grid with 7.9 terawatt hours of reliable, carbon-free baseload energy, while providing PSEG with the financial flexibility to fund our regulated investments. Our 100%-owned Hope Creek unit completed a 499-day continuous run since its last refueling outage, and we recently completed work to extend its fuel cycle from 18 to 24 months, positioning the unit to produce more megawatt hours going forward. Also during the past quarter, the Board of Trustees of the Long Island Power Authority approved a 5-year contract extension for us to continue as the operations service provider for the electric service on Long Island and in the Rockaways through 2030. We are executing on PSEG's growth plan with a focus on operational excellence and rigorous cost discipline to maintain reliability and provide value for our customers. The need for our investment in leadership has never been more evident than now with the significant and growing supply-demand imbalance in New Jersey and the entire PJM region. To address this resource adequacy imbalance, which will adversely impact both reliability and affordability for customers in the future if it's not addressed, we are actively collaborating with current and potential future policymakers to develop real solutions in New Jersey and ensure we can affordably meet our customers' energy needs. The next governor of New Jersey will be faced with addressing a broad set of rising costs and implementing practical solutions to get to the root cause of these cost pressures will be a focus. These cost pressures have many sources. For example, the latest Rutgers-Eagleton Poll showed that 36% of likely voters cited taxes as the top problem facing New Jersey, while 21% said it was affordability. Other topics trail these 2 leading concerns with 6% pointed specifically to housing affordability and 5% saw utility costs as the top problem in the state. We stand ready to work with the incoming administration to do our part to keep rates as low as possible in the short term and work on longer-term solutions to add supply. While the supply-demand imbalance remains a significant and growing problem, we expect the capacity market impact on customer bills next June will be limited by 2 factors. First, the FERC-approved price collar that will extend to at least the upcoming capacity auction in December; and two, the gradualism of the basic generation supply mechanism that feathers in changes over a 3-year period here in New Jersey. This assumes other supply-related costs remain the same, preserving the reduction from other charges expected to come off the bill. One energy topic where there is broad common ground is that New Jersey needs to add generation supply to reduce its over reliance on the PJM capacity market and ensuring continuing reliability and affordability for customers with imports having grown to over 40% of our generation consumption. Legislation has been introduced that allows electric distribution companies to compete to participate in offering supply solutions. We are supportive of legislation that would increase competition for generation of supply should New Jersey decide to pursue new in-state generation. In addition, we have sites with grid connection capability and pipeline supplies as well as the in-house expertise to build new supply here in New Jersey with prevailing wage labor. Now turning to PSEG Nuclear. We continue to implement projects designed to optimize our plants and increase megawatt production. In addition to the Hope Creek fuel cycle extension I mentioned earlier, our Salem uprate project will bring an incremental 200 megawatts to the grid during the 2027 to 2029 time frame as this kind of baseload carbon-free dispatchable power continues to increase in scarcity value. We also note the potential significance of the recent Department of Energy notice, which has now become a FERC rulemaking, seeking to accelerate interconnection of large loads in a way that is timely, fair and affordable for customers. The notice is requesting that FERC take final action by April 30, 2026. There are many positive elements to this proposal, but it will take a while before we see the ultimate impact of the rulemaking. So to summarize, we delivered a solid operating quarter for our customers, and our financial results through the first 9 months enable us to narrow our full year 2025 non-GAAP operating earnings guidance to the upper half of the range at $4 to $4.06 per share from our prior guidance of $3.94 to $4.06 per share. We are also reaffirming PSEG's 5-year non-GAAP operating earnings growth outlook of 5% to 7% through 2029 as we continue to pursue incremental opportunities to our long-term forecast, including the potential to contract our nuclear output under multiyear agreements and potential utility investments to address near-term need for additional supply due to the growing customer demand. Notably, our balance sheet continues to enable us to fund PSEG's 5-year capital investment program of $22.5 billion to $26 billion without the need to issue new equity or sell assets and provides the opportunity for consistent and sustainable dividend growth. Before I conclude, I would like to recognize the outstanding performance of both our transmission and distribution system as well as our nuclear business over the last quarter. Both demonstrated exceptional reliability and resiliency for our customers. This collective achievement reflects the hard work, dedication and technical expertise of everyone at PSEG. Now as you know, tomorrow is election day in New Jersey. Let me say this clearly, PSEG has been around for over a century, and we have worked successfully with every New Jersey administration on both sides of the aisle with aligned objectives for the state's advancement. Based on our meetings with both candidates for governor, I have every confidence that we will do so again with the new incoming administration. I'll now turn the call over to Dan, who will walk you through our financial results and the outlook for the remainder of 2025 and then rejoin the call for Q&A.
Daniel Cregg: Thanks, Ralph, and good morning to everybody. For the third quarter, PSEG reported net income of $1.24 per share in 2025 compared with $1.04 per share in 2024 and non-GAAP operating earnings were $1.13 per share in 2025 compared with $0.90 per share in 2024. We've provided you with information on Slide 7 and 9 regarding the contribution to net income and non-GAAP operating earnings by business for the third quarter and 9 months ended September 30, 2025. Slides 8 and 10 contain waterfall charts that take you through the net changes for the quarter and year-to-date periods over the prior year and non-GAAP operating earnings per share also by major business. Let's start with PSE&G, which reported third quarter net income and non-GAAP operating earnings of $515 million for 2025 compared to $379 million in 2024. Utilities results were driven by the implementation of new electric and gas base distribution rates that took effect in October 2024 to recover a return of and on previous capital investments totaling more than $3 billion and higher working capital recovery. Beginning on Slide 8 with the PSE&G column. Our distribution margin increased by $0.30 per share compared to the year ago period, largely reflecting the impact of the rate case plus recovery of and return on PSE&G's capital investments. On the expense side, distribution O&M costs were $0.02 per share higher compared to the third quarter of 2024. And depreciation and interest expense rose by $0.01 per share and $0.02 per share, respectively, compared to the third quarter of 2024, reflecting higher levels of depreciable plant investment and long-term debt at higher interest rates. Lastly, the timing of taxes recorded through an annual effective tax rate, which nets to zero over a full year, had a net favorable impact of $0.02 per share in the third quarter compared to the prior year period. Following severe heat storms in June when PSE&G hit its electric system peak for the year, weather conditions during the third quarter, as measured by the temperature-humidity index, were 3% cooler than normal and 7% cooler than the third quarter of 2024. As a reminder, the Conservation Incentive Program, or CIP program mechanism, decouples weather and other economic sales variances from a significant portion of our distribution margin, while helping PSE&G promote the widespread adoption of energy conservation, including energy efficiency and solar programs. Under the CIP, the number of electric and gas customers is the primary driver of distribution margin, and each segment grew by approximately 1% over the past year. On the capital front, as Ralph mentioned earlier, PSE&G invested approximately $1 billion during the third quarter, totaling $2.7 billion for the first 9 months. Our plan for the full year of 2025 regulated capital investment remains approximately $3.8 billion, and our 5-year regulated capital investment plan of $21 billion to $24 billion through 2029 is unchanged. In the first quarter of 2025, PSE&G began deploying the new energy efficiency programs. We anticipate investing up to $2.9 billion over a 6-year period under that program. This program total includes approximately $1 billion of on-bill repayment options to help our customers finance their energy efficiency equipment and appliances and provides customers with energy information and options to manage their energy use and lower their bills. Now moving on to PSEG Power & Other. For the third quarter, PSEG Power & Other reported net income of $107 million in 2025 compared to $141 million in 2024 and non-GAAP operating earnings were $50 million in 2025 compared to $69 million in 2024. Referring again to the third quarter waterfall on Slide 8, net energy margin rose by $0.01 per share compared to the prior year quarter. While generation was down in the quarter due to the Hope Creek refueling outage, overall power pricing and market revenues were higher than in the third quarter of 2024. O&M was $0.05 per share unfavorable compared to the third quarter of 2024, mostly driven by the scheduled refueling of our 100%-owned Hope Creek nuclear unit. As Ralph mentioned, our Hope Creek unit has successfully transitioned from an 18- to 24-month refueling cycle going forward, which is expected to yield additional megawatt hours as well as O&M savings over the long term. Depreciation expense was $0.01 per share favorable and interest expense rose by $0.02 per share, reflecting incremental debt at higher interest rates. And taxes and other were $0.01 per share favorable compared to the third quarter of 2024. On the operating side, the nuclear fleet produced approximately 7.9 terawatt hours during the third quarter compared to approximately 8.1 terawatt hours in the third quarter of 2024. For the 9 months ended September 30, 2025, nuclear generation was approximately 23.8 terawatt hours, up slightly from 23.3 terawatt hours for the same period of 2024. Capacity factors for the nuclear fleet were 92.4% and 93.7% for the quarter and 9-month period ended September 30, 2025, respectively. In July, PSEG Nuclear declared approximately 3,500 megawatts of its eligible nuclear capacity in PJM's base residual auction at the market clearing price of $329 per megawatt day for the energy year June 1, 2026, through May 31, 2027. Touching on some recent financing activity. As of the end of September, PSEG had total available liquidity of $3.6 billion, including approximately $330 million of cash on hand. And on the financing front, in August, PSE&G issued $450 million of 4.9% secured medium-term notes due August 2035. And later in August, PSEG redeemed at maturity $550 million of notes that carried a coupon of 0.8%. Overall, PSEG had significant liquidity at the end of the third quarter, which remained relatively unchanged from the end of the second quarter. PSEG's variable rate debt at the end of September consisted of a 364-day term loan at PSEG Power for $400 million, which matures in December of 2025, and commercial paper. As of September 30, our level of variable rate that represents approximately 4% of our total debt. And in October, Moody's published updated credit opinions on PSEG and PSE&G with no change to either credit ratings or outlook. Looking ahead, our solid balance sheet supports the execution of PSEG's 5-year capital spending plan dominated by regulated CapEx without the need to sell new equity or assets and provides for the opportunity for consistent and sustainable dividend growth. In closing, we are narrowing PSEG's full year 2025 non-GAAP operating earnings guidance to 4$ to $4.06 per share from $3.94 to $4.06 per share. This updates PSEG's solid results through the first 9 months of 2025. And we are also reaffirming our long-term 5% to 7% compound annual growth and non-GAAP operating earnings through 2029, supported by our capital investment programs and the nuclear PTC threshold. We expect to introduce PSEG's 2026 non-GAAP operating earnings guidance, roll forward our capital investment plans, update our rate base on long-term earnings CAGRs and discuss this outlook call during our year-end call in February of 2026. This concludes our formal remarks. And operator, we are now ready to begin the question-and-answer session.
Operator: [Operator Instructions] First question is from Shar Pourreza with Wells Fargo.
Ralph LaRossa: Who's that? Welcome back, Shar. And just like we did with many of your peers over the last 12 months, welcome back to hear you.
Shahriar Pourreza: I appreciate. You almost had me tongue tied and that never happened. So I appreciate that. So Ralph, just obviously, the elections could be kind of this key threshold for data center deals in the state. We've seen data center customers walk away from local politics issues in kind of both the regulated and even deregulated markets. Artificial Island is obviously -- it's a great asset. So kind of curious if there's any pressure points forming there? And then, obviously, one of your favorite questions is any updates on potential time lines?
Ralph LaRossa: Yes. Thanks, Shar. I'll let Dan, as we have been doing over the last couple of calls here, answer the time line conversation. But look, I would say this, and it's more of a generic answer to you on the election and what we can expect post Tuesday. And that is, we will see. But as I said in my -- kind of my closing comments, we fully expect to be able to work with both sides of the aisle. We've done it in the past. It's a proven track record by this company, and we feel really, really confident that, that's going to continue as we move forward here in 2026. Specific to data center opportunities in New Jersey, they really haven't slowed down. We have some information in the deck about how that has continued, and we expect it to continue. A few of those jobs have moved a little bit further along in the queue, depending upon whether you look at our queue or PJM's queue as an example. And I'll just point you to one that showed up today, it's public information. There's a TEAC meeting that's taking place tomorrow at PJM, and there is some additional load that's been identified for a job in Kenilworth that is our supplement -- one of our supplemental projects. So they continue to arrive here in New Jersey. We haven't seen it at the hyperscale level. And we have talked about that for many times, and we expect these to be smaller, not ones that we're making big announcements about, and we don't expect those smaller, less in size announcements to be something that we're talking about, whether it's at the utility or at Power. Dan, do you want to talk more about the time line?
Daniel Cregg: No, I mean, I think Ralph covered it. I think we'll get a little bit more color from both of the candidates. There's been a whole bunch of stuff they've talked about during the campaign. This hasn't been the highest topic with respect to data centers as much as with respect to affordability generally on things that have touched us. But we'll get more color as the election ends and we find out where they're going to go. But in the meantime, I think it's everything that Ralph said, and we're continuing to move forward.
Shahriar Pourreza: Okay. Great. And then just lastly -- that's helpful. And then just on the 11 gigawatts, the large load pipeline that's obviously growing. Just -- I know I don't want to front run the CapEx update on the roll forward, but let me attempt anyway. But just on the grid capacity, just Dan, talk about -- Ralph, just the grid capacity that's there to convert into signed agreements versus how much transmission and distribution needs you're going to have as you start to convert?
Ralph LaRossa: Well, again, I think a little bit of that is front-running some policy that will exist here in New Jersey, right? So the first -- and I talk a lot about the fact that the new governor will need to make some policy decisions that will help us plan the grid for the long term. Right now, we have capacity on our grid. That's based upon the current topology. If we see new generation come in, large-scale 1,000-megawatt plants that are showing up, that may change the grid topology a little bit. If we see more solar and more batteries, that may change the topology a little bit. So I'd be front-running to say that I could tell you that, which is why we're going to give you that full -- roll forward in February.
Operator: Our next question is from the line of Jeremy Tonet with JPMorgan.
Jeremy Tonet: Just wanted to pick up on the conversation with regard to potential data center contracting here. And wondering if you might be able to comment, I guess, on the flavor of conversations between your New Jersey versus Pennsylvania assets. Is there any discernible difference, I guess, in the tone of those conversations?
Daniel Cregg: I wouldn't say difference in the tone of conversations, Jeremy, but I think that you're seeing different types of entities being involved between the 2 states. I think you have more of a forward-leaning appetite in Pennsylvania, which is enabling more to happen and more to happen on a bigger scale. And I think in New Jersey, I have not seen that as much with respect to the incentives. And so what you're seeing is still some interest in the state and some sizable interest in the state, but at a smaller scale. So I think that's probably the biggest differentiation between the 2 locations.
Jeremy Tonet: Got it. That's helpful. And as it relates to, I guess, supply additions and working with stakeholders in the state, just wondering if you might be able to expand a little bit more beyond that, I guess, as far as what type of constructs Pega be interest in, be it regulated generation, unregulated generation or just any other color in general on this topic?
Ralph LaRossa: Yes. So Jeremy, it's a great question. Look, we have said for many months, and we have indicated in public settings that we are more than willing to help the state achieve its goals in a regulated capacity, right? We absolutely think that we could provide some solutions for gas generation that's in a regulated manner. We also think we can continue. We've done large-scale solar on some brownfield sites, some landfill sites in the past. So we could do more on the solar front. We think there's an appetite now for some regulated storage and we're looking forward to taking part in that, see how that plays out over the next few months. And we know that many -- both candidates have been talking a lot about new nuclear. Now on new nuclear, we have also been very, very pointed in our responses in saying that we're not looking to put our own capital to work, but we want to enable solutions for the state. And that's where our site comes in. And we think that long term, that will provide us with some revenue opportunities, whether it be for our operating and maintenance activities or security activities, spent fuel storage. There's many, many things that we can do on that front without putting our own capital to work. And so that's the way we've been approaching it, and that's the way we'd like to see things play out. More opportunities for us in baseload generation from a gas standpoint that would be regulated. And certainly, more we can do on a solar and the battery fronts as well. And I think if you look at both candidates and their platforms, you really see one -- they all -- they're both talking about everything, right, that they're looking at all these options that are out there. The real question is to what degree. And I think you will see one -- with one candidate that might be leaning a little more towards the gas-fired units and another candidate that leans a little more towards solar and batteries. But both candidates are talking about all of the above strategies, which we support and we will be part of.
Operator: The next question is from the line of Nick Campanella with Barclays.
Nicholas Campanella: So look, just the contracting discussion, we did see the multistate kind of proposal advocating for Bring Your Own Generation and the need to kind of fast track and permit -- fast track the permitting for some of these data centers, but there just seems to be an overall stress on Bring Your Own Generation across the states in PJM. And how is that causing the conversation around the nukes to evolve? And is it fair to say that any deal at this point would now have to come with additionality commitments, whether that's upgrades, new gas, batteries or otherwise? Just maybe you can kind of talk to that a little bit if that's the right take?
Ralph LaRossa: Yes. Are you talking about the DOE, Nick, in that the DOE -- the letter from DOE?
Nicholas Campanella: I'm just -- I think there's been various calls by whether it's been Pennsylvania, New Jersey or Maryland on just the need to -- for data centers to bring their own generation now. And I'm just wondering how that impacts incumbent generators that were interested in potentially signing front-of-the-meter deals.
Daniel Cregg: Yes. Nick, I would say that, if I'm capturing your question right, that there has been more dialogue around it. There has not been anything from the standpoint of requirements related to what must happen. And so I think from that perspective, I think it almost does tie in a little bit to what Ralph is talking about with respect to the DOE letter, which is trying to set some standards and trying to, I'm going to say, fast-track things, but get things moving where there is a little bit of a logjam. There's been a discussion about a whole host of topics. BYOG is one of them. But there's nothing that's mandatory from that perspective. And there's nothing about additionality that's mandatory from that perspective and different counterparties have different environmental profiles that are important to them, but not against the backdrop of anything that is required either. And so I think what you're seeing is continued dialogue around some topics that are of interest, but are not precluding anything from happen one way or another.
Nicholas Campanella: Okay. All right. I appreciate that. And then there's been a lot of EPS CAGR updates this quarter. And I guess maybe you can kind of help position to the Street, you're doing 9.5% year-over-year growth, '25 through -- off of '24. I see that on Slide 5. I noticed the [past] 5% to 7% CAGR, that's not linear. But just from our perspective, we know where the capacity auctions have cleared at, we know where prices have gone. Just what are some of the negatives that we should be thinking about that kind of put you back within the 5% to 7% range as we kind of think through what you can deliver on in '26?
Daniel Cregg: Yes. Nick, what I would tell you is our update is coming in February, and we're not going to piecemeal elements of it before we get there. So we'll give you a fulsome update when we give you the update.
Operator: The next question is from the line of David Arcaro with Morgan Stanley.
David Arcaro: One quick clarification or maybe an additional piece of data. I was just wondering what the level of mature applications would be in that data center activity that you've quoted in the past.
Ralph LaRossa: Yes. So I think we moved that from 2,600 to 2,800. I think that's the information that is in the deck. But that's the right number, 2,600 to 2,800.
David Arcaro: Great. Okay. Perfect. And then as you sketch out the utility growth outlook and roll forward, I was just curious if you could give your perspective now on how do you manage the affordability concerns maybe outside of just the generation front as you're planning the next iterations of your utility CapEx programs and looking at the T&D rate outlook. How are you weaving in just considerations around affordability?
Ralph LaRossa: Well, look, we always think about affordability, no matter what we do here from a company standpoint, whether it's -- I could point you to our O&M slides that are in the deck and how we held O&M relatively flat over a longer period of time. I could talk to you about the way we're implementing our AMI system right now and how we've done that, not only from a standpoint of cost and keeping rates down, but also from the impact on employees and the just transition of those folks into different positions. So affordability is not something new to us. I appreciate it's a hotter topic in different circles, but it's the way we've operated. And you've heard us many times talk about the fact that we're not making any big announcements about expense savings. We normally just operate in that manner, and we'll continue to do that. That said, we've also, in the past, worked through different mechanisms with the regulator to spread costs out differently, and I'll go back 20 years when the decision was made to change the depreciable life of our gas assets. And those -- that cost was recovered in a different way from customers. So there are things that we can do working with the regulator to come up with solutions to keep T&D rates flat. We've done that recently. We'll continue to look at options for that. But this is not just an affordability issue, right? This is quickly becoming a reliability issue and the resource adequacy is going to drive us to solutions that are going to increase supply as the demand comes online. We have to find supply. David, I don't know any other way to say it. And I think both of the candidates for governor in New Jersey recognize that. They've both said that. Again, their solutions might be a little bit different, but how we get there is the only question. It's not if we're going to get there. We need more supply in the state.
Operator: The next question is from the line of Bill Appicelli with UBS.
William Appicelli: Just following up on some of those comments you just made about finding supply. I mean there would be a sense of urgency I think, behind that, right? So is there an opportunity here in the veto session to push for some legislation that could support this? Or do you think this is more likely something has to be dealt with under a new administration?
Ralph LaRossa: Look, there's been a lot of things that have happened in the state in the past, not just from an energy standpoint, but other topics that have been handled in lame duck. And so I'm not sure whether or not that will be the approach that's taken here or it will be one that's taken in '26. But I do know it's going to be a hot topic one way or the other. And so I personally would like to see us move faster from a state standpoint. I think it would help us both from an affordability standpoint, but also from an economic development standpoint. We -- as I mentioned earlier, we've been -- we've got some headroom in the system today, and we've been using that up. But if we're going to continue to grow the state and again, both candidates would like to see us continue to grow the state, then one of the fundamental things we'll need is enough supply. And that's where I put my economic development hat on, and I say, "Let's get moving sooner than later. And boy, if we could have those discussions starting on Wednesday, it couldn't be soon enough."
William Appicelli: Right. And then just along those same lines, I mean, how do you evaluate the framework for that, right? Would this be in terms of evaluating how much generation you potentially would need from a regulated basis? Would there be sort of an RFP approach that you could then bid on? I mean I'm not sure if you guys could sort of describe how you would envision such a mechanism coming out?
Ralph LaRossa: Yes. Look, I think that the BPU could hold some sort of an auction. I think we could go to some sort of an FRR. I think, again, I don't want to front-run anybody. I think it would be rude to do that, so I won't. But I will tell you, what it all starts with the same four questions that we've been banging the table about, right? One, we've got to figure out what load we're going to supply, right? Two, we got to figure out what the reliability targets are going to be. Three, it's going to be emissions, right? And what are the emissions profiles we're willing to accept both if we're in a -- build our own generation or import it from our neighbors. Both of those have different impacts and how that plays out. And then the last thing is the definition of affordability. We talk about affordability, but we rarely define it, whether it's at the state level or at the federal level, to be honest. Is it going to be CPI? Is it going to be regional CPIs? Is it going to be state CPI? What is it going to be? And I think as we move forward, answering those four questions is fundamental to putting together an integrated resource plan.
William Appicelli: And then just lastly on the outlook for the forward curves. I mean can you maybe just speak to where you see those relative to maybe your fundamental view or at least relative to where the PTC floor is that's embedded in your outlook?
Ralph LaRossa: Yes. I'm going to let Dan answer that one. He sees that a little bit more, but I mean -- we look out 4 years the way others do. So I'll give it to you, Dan.
Daniel Cregg: Yes, Bill, I think you've seen some recent strength within the market, and we've been saying for some time that if you just think about all the fundamentals that are going on and the discussions that everybody is having, it's been pretty tough to try to land the plane on exactly what's going to happen from a load perspective, but the numbers are a little bit staggering. And so even a lower end of the range would imply a need for incremental supply. And then if you think about the supply discussions, those have always moved towards the concept of we need to move quickly because at the end of the day, it generally isn't going to come out all that fast. You just think about time for turbines and everything else. And so all of that leads you to a little bit of a more bullish place. And if you look at the forward curve, you haven't seen quite as much bullishness. So we've seen some of that come up. And so I think that feels a little bit more like a fundamental move than just some interim period of time, although we do end up having some of those, too. It seems like every time we go into winter and we get a cold day, you see a little bit of movement out the curve. But I do think fundamentals should support a stronger price as we go forward, but the forwards are the forwards.
Operator: The next question is from the line of Nick Amicucci with Evercore ISI.
Ralph LaRossa: I think you'll get a welcome as well. I think this is our first quarterly call with you asking a question.
Nicholas Amicucci: I appreciate that. I just wanted to dig in to a little bit on Hope Creek, just kind of the extension of the fuel cycle there. Kind of what undertakings were done? I mean, was that kind of an enhanced fuel offering? Or how should we kind of think about that? Is there opportunities to kind of extend that even further?
Ralph LaRossa: Yes. No, Nick, it really is a lot simpler than people might make it out to be. It's just shuffling of the fuel, some different changes in the fuel design. But we didn't change to a new fuel supplier as a result, right? So this is something that's been done in the industry quite a bit. And we joked a lot about it. We had a CFO that always gave us a hard time about doing upgrades at a plant that we only had a visibility for 3 years of a life for, but he did the right thing and held us accountable a little longer-term life before we make long-term investments. So while Dan did that, we were getting smart about the changes that we could make there, and we're following what the rest of the industry has done. I will tell you, though, we also, at the same time, did a lot of other things at that plant to continue to reinforce both the asset itself, but also some efficiencies. And I talk about things that you might not pay attention to, but we changed out some of the insulation in the cooling tower, which just changes the efficiency of that -- of the cooling tower, and it just allows us the draft that the cooling tower is going to increase, which allows you to keep the megawatts up in the middle of the summer when at other times, the heat and humidity might reduce the draft flow through that stack. So we were looking all the time for it. And in that case, no big announcements, but I know we're running more efficiently in the summer months, which, by the way, is at the same time that we have the higher prices, right? So lots of different things that we're doing down there and the team is doing a nice job for us in identifying those opportunities. But specific to your question, on the fuel, not a big change compared to what others have done in the industry and no real opportunity at Hope Creek to make an additional change. But maybe at Salem, and I know there are some operators that are looking at moving from a 12- to 18-year cycle at PWRs. The PWR -- I'm sorry, 18 to 24 months. The BWR is what we just did at Hope Creek.
Operator: The next question is from the line of Paul Zimbardo with Jefferies.
Paul Zimbardo: Dan, just to follow up on the conversation on the forward curve. Obviously, there's been a pretty big move even as of late. Could you share some light on kind of what the hedging profile looks like at Power for the next few years? And just if there's been any changes? I know we had the nuclear PTC a little bit ago. Just any overall thoughts you could give on the positioning would be great.
Daniel Cregg: Yes. And Paul, it isn't much and it's not very different from the characterization that we've provided in the past. I mean we said we were historically -- this goes back pre-PTC to fairly ratable 3-year hedging cycle. The PTC changed that because if you're taking a look at an overall hedging portfolio that you're trying to manage risk with, you have a risk protection from the PTC. So we said we varied from that a little bit because of the PTC. But the way we've described it is just not radically different from that ratable method. And I think if you think about it generally in those terms, you'll be in the ballpark of where we are. And that's how we've been describing it, and I think that's still a good way to describe it for you.
Paul Zimbardo: Okay. That makes sense. And then on the capital refresh, just to make sure I understood correctly, it sounds like you will have kind of a bigger capital refresh when we do that fourth quarter roll forward. Is that a fair interpretation? Or do you need some of that political and regulatory clarity and just it's not a fourth quarter event, but sometime later in 2026?
Daniel Cregg: No. We will be doing a normal roll forward of everything on our fourth quarter call. I think that's the simple way to think about the messaging.
Operator: The next question is from the line of Carly Davenport with Goldman Sachs.
Carly Davenport: Just one quick one for me on the utility side. Just as you get towards kind of the end of the GSMP II extension period, can you just share sort of the latest there in discussions about refreshing that program as we near 2026?
Ralph LaRossa: Yes. We're continuing to have those discussions, Carly. And I wouldn't -- again, I wouldn't want to front run any of that, that's taking place right now. But we're in continuous negotiations that are ongoing with the BPU.
Operator: The next question is from the line of Anthony Crowdell with Mizuho.
Anthony Crowdell: Thanks for squeezing me in with all the welcome greetings.
Ralph LaRossa: Anthony, my only question was, am I welcoming you to the Devil's bandwagon? It's a big question. But we'll talk about it...
Anthony Crowdell: I'm on it. I agree. I'm on it. Much better than my Rangers. I guess two questions. One is, I'm sure you guys have met with both candidates. When they talk about affordability, do you think they're focused on the supplier generation side or the wire side? Do they understand the differences in the PJM impact versus just investing in the grid infrastructure? And then I have a follow-up.
Ralph LaRossa: Yes. No, Anthony, great question. They absolutely understand the difference. They also understand that the customer gets one bill. And so what we need to work together with whoever is successful is working on that one bill. And so that's why we keep talking about supply. It's not our traditional lane. We're here to help on that. But we are really pounding the table about the integrated resource plan no matter what happens going forward because without that, we'll just continue to flounder. We lived on the backs of some excess capacity in the area for quite some time. And now we have this challenge here. But I don't want to at all give anybody an indication that either candidate doesn't understand the issue. They absolutely understand the issue, and they know where it is.
Anthony Crowdell: And then the follow-up, kind of the same topic. Your company is the only company with both PJM wires exposure, but also merchant generation PJM. And as we're all looking for, whether it's a data center contract or a large load customer contract, is it possible that both segments of your business, the wires company and the generation, given the backdrop of affordability and everything else, that they actually both could win or outperform at the same time? The worry is when you see this election going on and a very high attractive price on a generation if something came about on the data center or any type of large contract would actually hurt the wires business or vice versa. I'll just leave it there.
Ralph LaRossa: No, it's a very fair question, Anthony, but it's one that we think about every day because we're -- at the end of the day, we're hired by the shareholders, and that's where our head's at. And we do think that there continues to be an opportunity to benefit from having both of the assets. I'll say it in that term from a generation standpoint and from a utility standpoint. I think it showed up in the way we've been able to finance the utility. That was the reason we originally talked about holding on to nuclear. It helps us in the state in conversations. It helps us with our unions, having a common union there. So just to remind everybody of that is key. But we are laser-focused on adding value for the shareholder, and we're trying to look at that balance every day to get that optimization. So I think there is a win-win. And how it plays out will be based upon a lot of different factors over the next couple of years here.
Operator: Our last question is from the line of Andrew Weisel with Scotiabank.
Andrew Weisel: First question is on the balance sheet. You've obviously long touted the strength of that and the lack of need for external equity. But I am expecting in a few months, we'll see a pretty sizable increase to the capital plan. Maybe how are you thinking about that at this point? I don't expect specifics, but are you thinking that you'll be able to continue to stay no equity?
Ralph LaRossa: Look, I think I'm going to start off and give it to Dan. The way I've talked about this quite a bit, both Dan and his predecessors have handled our balance sheet extremely well, and I don't think any of that's going to change as we have more opportunities in front of us. But Dan can give you any more he wants to there.
Daniel Cregg: And there's not a lot without going into what we would be saying in the fourth quarter. I think we've been able to manage the business pretty well and manage the needs that we've had pretty well. And I think we're going to continue to be able to do that. We'll provide the fulsome roll forward in the fourth quarter, which will include capital rate base and overall earnings growth.
Andrew Weisel: Okay. Great. Next, on affordability. Obviously, it's been talked a lot about today, and I can't watch a World Series or football game without being reminded about it. But one different approach I want to maybe think about is, obviously, no one likes seeing their bills go up, and it's been a real hard slog to get new supply added. But New Jersey is a pretty wealthy state overall. How are you thinking about it in terms of not only overall affordability, but focusing on low and lower customers? There's a lot of existing programs and talk about expanding or adding new programs. Is that maybe a different strategy that maybe could be pursued both by you and the state overall?
Ralph LaRossa: Yes. No, it's -- again, a very good question. It is absolutely something I think it will depend upon who is successful and how this plays out. But both candidates talk about how they have to look at things a little bit differently dependent upon the customer or in their case, the taxpayer that they've -- that they're taking care of. So we have done that in the past, Andrew, and I'm going to give you one example here where Kim Hanemann and her team at the utility reaches that all the time. And we are doing analysis over the past week, just to try to see where things might play out from a SNAP standpoint and the impact on our customer base. And we identified about 500,000 customers that could be impacted in how we could think about those customers and making sure that we take that into account as we are in a shut-off period now for collections and how that's all handled. So our team looks at that level of detail on a regular basis and very proud of them for doing that. And I think that, that, at the end of the day, brings us a lot of goodwill in the state, not only from our customer base, but also from our policymakers. Do you want to add anything, Dan?
Daniel Cregg: Andrew, the only other thing I would add is we show a percent of wallet slide in our deck that we have for a long time. And if you take a look at that slide, there's actually 2 lines on that. One of them is for the average customer. One of them is for a lower income customer. And given the lower income and given the share of wallet, you would think that it would be a higher percent of their income given the fact that the denominator is lower. And in fact, it's not. And that, I think, is a credit to the programs that are in place and the things that are done throughout the state and that we do ourselves to help some of those that are most in need. So that is always a focus and will continue to be as we go forward.
Andrew Weisel: Great. Yes. I appreciate how much you guys have been proactive on that front. One last one, if I could, just on the large load inquiries, a pretty significant pickup there to 11.5 gigawatt. Can you detail how much of that is data centers versus manufacturers? And then just very roughly the timing of the ramp-up schedules? How much of that is kind of '26, '27 versus the outer years like '29, '30 or beyond?
Ralph LaRossa: Yes. No, I don't have the level of detail on each of the years for you. So I wouldn't have that. It is mostly data centers. I would say, almost exclusively data centers in that number. There were some electric vehicle loads that were coming on. It has not stayed up at the same level. So everything -- but it's also edge computing more than it is hyperscalers, again, just to reinforce that point. And I think the other thing that's really telling about the load and the interest that's coming in, it's all sticking to around that 20% number that's actually coming to fruition, which we had talked about 3 or 4 calls ago. We thought that was going to be the way this would play out and it's shown itself in the numbers as the total inquiries come in, those that are actually moving to new business are staying around 20%. So again, proud of the team and the forecast that has been done there and give you a little bit of more flavor than maybe just looking at the due numbers.
Operator: Ladies and gentlemen, I'd like to turn the floor back over to Mr. LaRossa for closing comments.
Ralph LaRossa: Well, thanks. I got -- I have a planned comment. I'm going to add another one. I was told by Carlotta today that this Dan's tenth year as CFO, and so your 40th call, Dan. So congratulations on getting there.
Daniel Cregg: I must be exhausted.
Ralph LaRossa: You must be. But listen, all joking aside, we said a lot of thank yous and good luck to people moving into new roles and no place is that more important in Trenton as we go through the next week. It's been a heck of a campaign. All the polls are saying it's close. We'll see how this plays out. But what will not be close is our ability to work with whoever is successful. We stand ready, talk about rolling up our sleeves. We'll roll up our sleeves, our trousers, whatever else we need to do to make sure that we are here to help out and we're ready to work. So good luck to both candidates as they enter the last 24 hours of the campaign. And I look forward to seeing you all in Hollywood, Florida in the next 7 days or so. Take care.
Operator: Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time, and thank you for your participation.